Operator: Ladies and gentlemen, thank you for standing by, welcome to the Dycom Results Conference Call. At this time, all the participant lines are in a listen-only mode. There will be an opportunity for your questions and instructions will be given at that time. [Operator Instructions] As a reminder, today's call is being recorded. I'll turn the call now over to Mr. Steve Nielsen. Please go ahead, sir.
Steven Nielsen: Thank you, John. Good morning, everyone. I'd like to thank you for attending this conference call to review our first quarter fiscal 2019 results. Going to slide three, during this call, we will be referring to a slide presentation, which can be found on our website's Investor Relations main page. Relevant slides will be identified by number throughout our presentation. Today, we have on the call, Tim Estes, our Chief Operating Officer; Drew DeFerrari, our Chief Financial Officer; and Rick Vilsoet, our General Counsel. Now I will turn the call over to Rick Vilsoet.
Rick Vilsoet: Thank you, Steve. Except for historical information, the statements made by company management during this call maybe forward looking and are maybe pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, including those related to the company's outlook are based on management's current expectations, estimates and projections and involve known and unknown risks and uncertainties, which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks and uncertainties are more fully described in the company's transition report on Form 10-K for the six months ended January 27, 2018, and other periodic filings with the Securities and Exchange Commission. The company assumes no obligation to update forward-looking statements. Steve?
Steven Nielsen: Thanks, Rick. Now moving to slide four and a review of our first quarter results, as you review our results, please note that we have presented in our release and comment certain revenue amounts excluding revenues from storm restoration services during the quarter and from businesses acquired during the April of 2017 and April of 2018 quarters. Adjusted EBITDA, adjusted net income and adjusted diluted earnings per share, all of which are non-GAAP financial measures. See slides 13 through 21 for a reconciliation of non-GAAP measures to GAAP measures. Revenue was $731.4 million, a decrease of 7%. Organic revenue, excluding $14.8 million of storm restoration services in the quarter declined 10%. As we deployed 1-gigabit wireline networks, wireless/wireline converged networks and grew core market share, this quarter reflected an increase in demand from a key customer offset by the expected moderation from a large customer and revenue declines from certain other customers. Gross margins were disappointing at 18.02% of revenue, reflecting prolonged winter weather conditions and continuing costs associated with the initiation of large customer programs. General and administrative expenses were 8.52%. All of these factors produced adjusted EBITDA of $73.7 million or 10.1% of revenue and adjusted diluted earnings per share of $0.65 compared to $1.30 in the year ago quarter. Operating cash flow was solid, totaling $24.6 million in the quarter. Liquidity was ample as cash and availability under our credit facility was $459.3 million. And finally, during the quarter we acquired certain assets of liabilities of the communications, construction and maintenance services provider in the Midwest. Going to slide five, today, a number of major industry participants are deploying significant wireline networks across broad sections of the country. These networks are generally designed to provision bandwidth enabling 1-gigabit speeds to individual consumers. In addition, emerging wireless technologies are driving significant wireline deployments. These wireline deployments are necessary to facilitate what is expected to be a decade’s long deployment of fully converged wireless/wireline networks that will enable high bandwidth low latency applications. The industry effort required to deploy these converged networks continues to meaningfully broaden our set of opportunities. Total industry opportunities in aggregate are robust. We are providing program management planning, engineering and design, aerial and underground construction and fulfillment services for 1-gigabit deployments. These services are being provided across the country in dozens of metropolitan areas to a number of customers. In addition, we have secured a number of converged wireless/wireline multiuse network deployments across the country, planning, engineering and limited construction has begun. Engineering and construction activities expected to increase and accelerate throughout 2018. Customers are continuing to reveal with specificity new multiyear initiatives that are being planned and managed on a market-by-market basis. Our ability to provide integrated planning, engineering and design, procurement and construction and maintenance services is of particular value to several industry participants. As with prior initiations of large-scale network deployments, we expect some normal timing volatility and customer spending modulations as network deployment strategies and technologies evolve and tactical considerations, primarily permitting impact timing. We remain confident that our competitively unparalleled scale and market share, as well as our financial strength position us well to deliver valuable service to our customers and robust returns to our shareholders. Now moving to slide six, we continue to experience effects of a strong overall industry environment during the quarter, but saw moderation from two large customers. Revenue declines from certain other customers, as well as impacts from prolonged winter weather conditions. Organic revenue, excluding storm restoration services declined 10%. Our top five customers combined produced 78.8% of revenue, declining 8.8% organically, while all other customers decreased 14.2% organically. AT&T was our largest customer at 24.2% of total revenue or $177 million. Revenue from Comcast was $159.2 million or 21.8% of revenue. Comcast was our second largest customer. Verizon was Dycom's third largest customer for the quarter at 16.7% of revenue or $122.1 million. Verizon grew 82.7% organically. Revenue from CenturyLink was $89.7 million or 12.3% of revenue. CenturyLink was our fourth largest customer. And finally, revenue from Charter was $28.7 million, or 3.9% of revenue. Charter was our fifth largest customer. Despite a difficult quarter, we are pleased that we have continued to gain profitable market share, expand our geographic reach and expand our program management network planning services. In fact over the last several years, we have meaningfully increased the long-term value of our maintenance and operations business, a trend which we believe will parallel our deployment of 1 gigabit in wireless/wireline converge networks as those deployments dramatically increase the amount of outside plant network that must be extended and maintained. Going to slide seven, backlog at the end of the first quarter was $5.877 billion versus $5.847 billion at the end of the January 2018 quarter, an increase of approximately $30 million. Of this backlog, approximately $2.976 billion is expected to be completed in the next 12 months, reflecting our tempered expectations of near-term revenue trends. Both backlog calculations reflects solid performance as we book new work and renewed existing work, we continue to anticipate substantial future opportunities across a broad array of our customers. For Verizon, we were awarded expanded engineering and construction services agreements in multiple markets with Comcast, we renewed construction and maintenance service agreements in Michigan, Pennsylvania and Florida. For AT&T, we extended a wireless services agreement in Georgia. With CenturyLink, we renewed engineering services agreements for Oregon, Montana, Arizona, Wyoming and Virginia. And finally, we extended a locating services agreement in California with AT&T. Headcount increased during the quarter to 14,607. Now I will turn the call over to Drew for his financial review and outlook.
Andrew DeFerrari: Thanks, Steve and good morning, everyone. Going to slide eight, contract revenues for Q1 2019 were $731.4 million and organic revenue decreased 10%, reflecting declines by two large customers partially offset by solid growth from another large customer. Storm restoration services contributed $14.8 million of revenue and businesses acquired contributed $15.4 million of revenue. During Q1 2019, we adopted the new revenue accounting standard and there was no change to our revenue recognition practice. Adjusted EBITDA was $73.7 million in Q1 2019, which was at 10.1% of revenue. Gross margins were at 18% and compared to the April quarter last year were impacted by prolonged winter weather conditions and cost incurred on large customer programs. Gross margins were approximately 100 basis points below our expectations for the quarter. This margin pressure resulted from the under absorption of labor and field costs as large customer programs mobilized. We expect margins to continue to be impacted in the near-term with the pressure dissipating as we gain greater momentum on these large programs. Accordingly, our outlook has been lowered for the full fiscal year from our prior expectations to reflect the expected margin pressure. G&A expense increased 72 basis points compared to the April quarter last year, primarily from the impact of labor costs, which are supporting our expanding scale to address growth initiatives. Our non-GAAP adjusted diluted EPS in Q1 2019 was $0.65 per share compared to $1.30 per share in the year ago period. Now going forward to slide nine, our balance sheet and financial profile continue to reflect the strength of our business. We ended the quarter with $353.3 million of term loans outstanding and no revolver borrowings on our senior credit facility. Our liquidity is robust at $459 million at the end of the quarter consisting of availability from our credit facility and cash on hand. Operating cash flows were at $24.6 million. Regarding our Q1 adoption of the new revenue accounting standard, our balance sheet classification changed to include unbilled receivables in the caption accounts receivable. Additionally amounts that were costs and earnings in excess of billings are now captioned contract assets. Amounts that were billing in excess of costs and earnings are captioned contract liabilities. The combined DSOs of accounts receivable and contract assets net were 92 days for Q1 2019, which represents a slight sequential decline from the January quarter. Capital expenditures were $26.5 million during Q1 2019 net of disposal proceeds and gross CapEx was $34.5 million. During the quarter we acquired certain assets and liabilities of a communications, construction and maintenance services provider in the Midwest for $20.9 million. In summary, we are well positioned with a strong balance sheet and ample liquidity. Going to our outlook on slides 10 and 11, for fiscal 2019, we are engaged on a broad range of large customer programs, which are expected to drive meaningful growth in the back half of the fiscal year. Based on our Q1 2019 actual results and current expectations of the timing of activity on these programs, we have tempered our annual guidance and for the full year we currently expect revenues, which range from $3.23 billion to $3.43 billion. We expect accelerating fiber deployments for emerging wireless technologies, increasing wireless services and solid demand from several large customers reflecting 1 gigabit deployments in fiber deep cable capacity projects. Non-GAAP adjusted diluted EPS is expected to range from $4.26 to $5.15 per share based on an estimated diluted shares of approximately 31.9 million. Adjusted EBITDA margin is expected to range from 12.4% to 12.9% of revenue. Other expectations reflected in the annual guidance include depreciation, which is expected to range from $155 million to $160 million and amortization expected at $23 million. Share-based compensation included in G&A expense is estimated to range from $25 million to $26 million. Adjusted interest expense is expected to range from $23 million to $24 million, excluding $19.1 million of interest for the non-cash amortization of the debt discount on our notes. Other income, net, is expected to range from $11 million to $13 million. The effective tax rate is expected at 27.5%, which is before the tax effects of the settlement of share-based awards. Now going to slide 11, for the July 2018 quarter, we currently expect total revenue to range from $830 million to $860 million. Non-GAAP adjusted diluted EPS is to range from $1.13 to $1.28 per share based on estimated diluted shares of approximately 31.9 million and non-GAAP adjusted EBITDA to range from 12.4% to 12.8%. Other expectations included in the outlook for the July quarter include depreciation, which is expected to range from $39 million to $39.8 million and amortization is expected at $5.8 million. Share-based compensation included in G&A expense is estimated at approximately $6.6 million. Adjusted interest expense is expected at $5.8 million, excluding $4.8 million of interest for the non-cash amortization of the debt discount on our notes. Other income net is expected to range from $2.9 million to $3.5 million. The effective tax rate is expected at 27.5%, which is before the tax effects of the settlement of share-based awards. And now I will turn the call back to Steve.
Steven Nielsen: Thanks, Drew. Going to slide 12, within a growing economy, we experienced the effects of a strong industry environment and capitalized on our significant strengths. First and foremost, we maintained strong customer relationships throughout our markets, we continue to win and extend contracts at attractive pricing. Secondly, the strength of those relationships and the extensive market presence they have created has allowed us to be at the forefront of evolving industry opportunities. The end market drivers of these opportunities remain firm and are strengthening. Fiber deployments in contemplation of emerging wireless technologies have begun in many regions of the country. A significant number of new project initiations are occurring. Wireless construction activity in support of expanded coverage and capacity is poised to accelerate through the deployment of enhanced macro cells and new small cells. Telephone companies are deploying fiber-to-the-home to enable video offerings and 1-gigabit high-speed connections. This activity has begun to increase. Cable operators are deploying fiber to small and medium businesses and enterprises. These deployments are often in anticipation of the customer sales process as confidence and the number of existing customers continues to increase. Fiber-deep deployments to expand capacity as well as new build opportunities and overall capital expenditures are increasing. Dramatically increased speeds to consumers are being provisioned. Customers are consolidating supply chains, creating opportunities for market share growth and increasing the long-term value of our maintenance and operations business. In addition, we are increasingly providing integrated planning, engineering and design, procurement and construction and maintenance services creating more visibility around future revenue streams. Within this context, we believe we are uniquely positioned, managed and capitalize the meaningfully experienced an improving industry environment to benefit of our shareholders. While we are disappointed with the current revenue and margin softness and the adjustment to our near-term outlook, we see that softness abating in the second half of the fiscal year and remain encouraged there our major customers possess significant financial strength and are committed to multi-year capital spending initiatives. These initiatives are increasing in number across multiple customers. An improved regulatory environment is supportive of these initiatives. We remain confident in our strategies, the prospects for our company, the capabilities of our dedicated employees and the experience of our management team as we grow our business and capitalization. Now, John, will open the call for questions.
Operator: Certainly. [Operator Instructions] First go to line of Matt Duncan with Stephens. Please go ahead.
Matt Duncan: Hey. Good morning, guys.
Steven Nielsen: Good morning, Matt.
Matt Duncan: So Steve, obviously the big question on everyone's mind this morning is the pressure on margin and little more specifics around what's causing it. And it sounds like you're still expecting a big ramp in the business, the timing has maybe changed a little bit. But I think what we're all trying to get at is a little more specific around the near-term margin pressure? And do you believe you can still get this business back to a mid-teens EBITDA margins. One things ramp up and you're better absorbing those costs?
Steven Nielsen: So to the second question, Matt, yes, I mean, we have not changed our view on mid-teens EBITDA. With respect to the pressure on the business, we have a number of large programs some of which require extensive permitting and other governmental authorities. But we've been through this before the timing of when you build up a cadence in that process that will allow you to efficiently deploy resources is hard to forecast. We understand that -- we're disappointed that we didn't get it as right as we would have liked last quarter. But that doesn't change that the projects are there that we're confident in our ability to execute, we just got to get enough work in hand so that we can both absorb the fixed costs around warehousing and supervision and general management as well as be efficient in the field as we get more permitted backlog that we can really go to work on. And it's getting better every day, it’s just not getting better as quickly as we would have hoped 91 days ago.
Matt Duncan: So is this customers shifting the timing of work or is it simply the permitting process.
Steven Nielsen: We're all working together with our customers with the permitting authorities. These are large programs, in fact I think they are substantial programs and that means there is a substantial build up in activities from the permitting authorities. And it's taking a little time, but it's getting better.
Matt Duncan: And second thing I'll hop back in queue just on backlog, total backlog is pretty flat 12 month backlog tick down. And I think people are struggling with trying to understand the tick down in 12 month backlog given the cadence and ramp in the business that you are expecting. I'm assuming it's probably as simple as the timing of orders you probably got some contracts that are going to have to renew in the next 12 months, so maybe you don't have all of the revenue you theoretically would get from those programs in that 12-month backlog currently. But give us a little help on the cadence to that line. Do you expect it to continue to trend higher generally overtime and why that 12 month backlog may have ticked down little bit here sequentially.
Steven Nielsen: So recall, Matt, that there are some contracts in portions of our business that are annual that renew the first of each year. So there is always going to be little burn off rate on those contracts there is only going to be eight months of backlog at the end of April. I think the other thing is there was some shifting from the 12 month number out a little bit just based on our reforecast of the revenue doesn’t mean that it isn't there it’s just more timing related. And then there is always a number of contract renewals and those fluctuate from quarter-to-quarter and until you get them renewed that can impact the near-term and total backlog.
Matt Duncan: Thanks, Steve.
Operator: Our next question is from Alex Rygiel with B. Riley FBR. Please go ahead.
Min Cho: Hi Steve, this is actually Min for Alex this morning. Hi there. So I guess, I mean, I just wanted to get a little more information about the acquisition that you made in the Midwest obviously added to some revenue in the quarter. Can you tell us how much of that acquisition is included in the annual guidance that you've provided?
Steven Nielsen: We’ve paid just a little over $20 million for so we have that provided revenue other than in line with an acquisition of that size, so it's really not material. This is not moving the revenue or the backlog number in any significant way.
Min Cho: Okay. So it looks like you’ve really -- your guidance for EBITDA, looks like you’re just really taking into consideration the miss in the first quarter, second quarter looks like it's going to be little bit lighter, but definitely more second half loaded. So, overall for the full year, outside of this 1Q miss, you’re really not changing expectations too much. So things should get back to expectations by the second half of the year and kind of how you are thinking about it?
Andrew DeFerrari: Hey, Min, this is Drew. So, as you recognized in the first quarter we're down about 100 basis points on margin versus our expectations, And then we've taken down the second quarter sum as these programs, the ramp on those has pushed out a little bit. So, we took that down call it approximately 200 or so relative to our expectations and then the back half of the year something less than 100 basis points on our margin expectations. So, it dissipates that -- pressure dissipates as the year goes on.
Min Cho: Okay. Drew while I have you kind of just get the revenue breakout?
Andrew DeFerrari: Sure. So Windstream was number six at 3.3% of revenue, Frontier was number seven at 1.6% of revenue, OFS Phytel [ph] was number eight at 1.3% of revenue, Dominion Energy was number nine at 1%, and customer number 10 was at 0.9%. And Telco was at 65%, Cable was at 26.2%, facility locating was 6.2% and then the electro and other was 2.6%.
Steven Nielsen : And inside the telecom wireless was about 8% of total revenue.
Min Cho: Okay, great. Thank you for that info. And Steve, if you can talk generally about any change in competition that you are seeing, any increased competition in some of your markets, I know that you guys are obviously -- have great market share and there is a lot of work to be done, but if you could just talk to some competition?
Steven Nielsen: There is a lot of work to go around, I think everybody busy and getting busier, particularly as you see kind of the ramp in the industry that I think will be very similar to the ramp that we have. And we're focused on executing well on what we have and confident that we'll maintain fair share of opportunity going forward.
Min Cho: Okay, great. Thank you.
Operator: Next we'll go to Tahira Afzal of KeyBanc. Please go ahead.
Tahira Afzal: Hi, folk.
Steven Nielsen: Hey, Tahira.
Tahira Afzal: Steve, when you look back and when you set guidance and where we are right now. The new guidance that you set assuming a bigger cushion given what you've learned in terms of the modulation of these clients? And the reason I ask it is, when I go back a year we were kind of at the same place, seems these guys are taking a bit more time and pushing things around a bet, promoting in something that will continue to be an issue. So, have all those been factored in into that second half ramp as well?
Steven Nielsen: So, we go through a process where we build up our expectations kind of contract-by-contract from the business units. And, Tahira, we did exactly what you are looking at, we went back and said from those expectations now that we know how things have turned out, what was an appropriate discount and we look backwards and we reflected that in the guidance. So what you did exactly what you are -- the way you are thinking about it.
Tahira Afzal: Okay. And then, if you were to look at the margins in a sense, given that it seems that these modulations are probably going to be there going forward as fast. I know you’re still confident about that mid-teens sort of EBITDA range, but do we sort of hit it at -- do you hit your sweet point on that more into 2020 timeframe or is that still possible in 2019?
Steven Nielsen: I think in the back half of the fiscal year, I think we can do mid-teens, I think that's what -- if you do the math that’s what it would imply.
Tahira Afzal: Got it. And so you think that’s something that’s going to be sustained then going forward as fall into 2020…
Steven Nielsen: We think that gets better as we get more momentum in the projects.
Tahira Afzal: Got it, okay. Thank you very much, Steve.
Operator: Our next question is from Chad Dillard with Deutsche Bank. Please go ahead.
Chad Dillard: Hi. Good morning, guys.
Steven Nielsen : Good morning.
Chad Dillard: So it seems like we started to see AT&T’s contribution to revenue during the quarter a little bit after several quarters of decline. And based on the work that you see ahead in your backlog, I mean, do you start -- do you expect to see a quarter-over-quarter acceleration revenue came from this customer? And then just secondly on CenturyLink, I was just curious whether you have enough visibility to say that you're going to see that customer decline starting to hit bottom in the near-term?
Steven Nielsen : So Chad, with respect to AT&T, we have a number of projects associated with the FirstNet program. And I think AT&T was at an investor conference last week where they shared that on that particular program they've spend about $140 million in the calendar first quarter. But they expected to spend $2 billion for the full year. So clearly our efforts for them on that program are going to have to pick up to align with their expectations, so we do see that in the business. I think with respect to CenturyLink, they have guided and spoken at another conference last week to kind of 16% of revenue, they spent 13% on CapEx in the first quarter. And there is a -- through the integration of Level 3 and CenturyLink there is a new management team, they have been very disciplined in reviewing their CapEx, but they also at that conference said that they saw spending picking up and developing a steadier rhythm on the consumer side, which is not where all our revenue is, but a significant majority of the funding with them is on the consumer side and on the cap side. So based on those comments, I think they see things getting a little better.
Chad Dillard: That's helpful. And then can you just spend some time on FirstNet. How much contribution to revenue could this grows here at peak spending levels for your business. Have you started to see AT&T start to bundle 5G work with First Network. And like how you think that impacts the ability to compete for that work? And then lastly, just from a labor perspective, do you have enough tower workers to support to build out or will that be a bigger hire and a focus for hiring going forward?
Steven Nielsen : Okay. So I mean in terms of resources Chad, I mean, we assess that as we're looking at the guidance, we think we'll be able to execute on the work that we provided. We've grown that business essentially over the last five years from a start up to a run rate of $200 million or there about. And we think it grows from there. I don’t think we're going isolate individual programs with customers. But we see it as that part of our business with AT&T probably growing faster than the total. So we see that incrementally positive. I think on your question on 5G, I think if you look at some of AT&T’s comments recently as they talked about integrating 5G radios in the FirstNet deployment. So for us we don't isolate quite the 5G work separate from the First Net, it's all on integrated one power client approach to both programs. So we have the skill set because we're doing the work.
Chad Dillard: Alright. Thank you very much.
Operator: Next go to Brett Thielman with D.A. Davidson. Please go ahead.
Brett Thielman: Good morning, Steve, Drew.
Steven Nielsen : Good morning, Brett.
Brett Thielman : Hey, Steve, I mean, I am looking for revenue to pick up here in the second quarter relative to last year. I guess have you started to see that developed yet. Have you seen it turn maybe in the later part of last quarter or is it kind of June-July where you think things start to pick up?
Steven Nielsen : No, I mean, we see good improvement throughout the quarter, Brett. I think the difficulty in April is it clearly picked from March, but it wasn't seasonal just because of the prolonged winter weather conditions, I mean, in the upper Midwest some of the road moratoriums didn't get released until the 1st May, a year ago is the first week of April. So, I mean, it certainly was the late seasonality this year, but we see that picking up in May in a number of parts of the business.
Brett Thielman : Got it, okay. And then I guess, Steve, with the investments you've made in the business in terms of people and equipment. I mean, are you nearing the point here of critical mass where you feel like you've got what you need to begin to leverage these spending cycles coming and that should retch it down?
Steven Nielsen : Well, we've built lots of infrastructure as the programs get bigger we'll continue to add to it, but not at the same rate given that we’ve got the foundation in place. We have a large program management office, obviously there is leverage there as the programs get bigger. There is the warehousing and field office facilities right, if program run rates go up 50% your rent doesn’t go up 50%. So there is leverage as the programs gain momentum.
Brett Thielman : Okay, great. And then maybe just one quick to Drew, the other income line was I think quite a bit higher than you have guided, you remind are those fixed asset sales and should those run higher for the year?
Andrew DeFerrari: Yes, Brett, those number did come in a little bit higher in the quarter and then for the year we did update that number in the outlook.
Steven Nielsen : Used equipment prices were stronger than we expected, which is probably a leading indicator that people are trying to find capacity wherever they can.
Brett Thielman : And that goes to competitor Steve or?
Steven Nielsen : They’re typically subcontractors or it could be more broadly could be general construction. We sell assets through public auctions and so there is a broad demand, but the economy is good and demand for equipment is good. When you can sell an asset eight years after you brought it for 75% of what you paid for, that’s a good market.
Brett Thielman : Not too bad. Okay. Thanks, guys.
Operator: Our next question is from Adam Thalhimer with Thompson Davis. Please go ahead.
Adam Thalhimer: Hey. Good morning, guys.
Steven Nielsen : Good morning, Adam.
Adam Thalhimer: Hey, Steve, when I talk to your competitors both public and private the general sense I get is that people are basically sold out for the next three years. Would you say you’re generally in agreement with that statement.
Steven Nielsen : Well, I am not sure I agree with the framework. But I think people are busy, I mean, we’re here to grow capacity for customers. So I guess we’re sold out today, but we can always do a little more tomorrow, right. So, I mean, that’s why we are spending the money on the CapEx. And as Brent, mentioned that’s why we have invested in the infrastructure and the people to get bigger. Private companies may have a different approach to thinking about that, but for us we’ve positioned the company to grow and we don’t know subsidiary comes back. And so as we can’t contemplate another project because we are sold out, it’s a question of getting the right returns to make future investments to add to capacity.
Adam Thalhimer: And I guess the reason I made the comment was just to try to get people a sense of how long these programs could last and how much revenue we’re talking about here.
Steven Nielsen : I mean, I think if you look at customer comments, they are indicative of long range programs, we had a customer that had a sell side event yesterday and clearly pretty excited about opportunities around deploying more infrastructure and that’s not going to just be for a year or two.
Adam Thalhimer: The near-term revenue weakness, can you help us get a sense for how much of that was the permitting issue and how much of that was modulations of two customers?
Steven Nielsen : Well clearly the permitting issue was more impactful of growth, whereas the decline year-over-year is really just the winding up as we mentioned there was one customer that commented that they’ve spend kind of 7% of what they expected for full year on a large program in the first calendar quarter clearly they have got to ramp up. And there certainly was some weather impacts both in the Northeast I think they got a snow storm about every weekend through April, as well as the limitations on construction activity in the Midwest.
Adam Thalhimer: Okay. And lastly, as you think out over a multi-year period, would you say that the opportunity for telco is larger than for cable.
Steven Nielsen : I think they are both pretty good and it’s hard -- it will be interesting to see the interaction of 5G fixed broadband with the cable consumer and small and medium enterprise business. And I think competition has always been good for our business and as for investment as people create new capabilities.
Adam Thalhimer: Okay, thanks for the time.
Operator: Our next question is from Noelle Dilts with Stifel. Please go ahead.
Noelle Dilts : Hi, guys, thanks good morning.
Steven Nielsen : Hey, Noelle.
Noelle Dilts : So looking at the sequential uptick in headcount, can you give us a sense of how much of that was organic versus acquired?
Steven Nielsen : There was about 150 acquired Noelle. So it was -- as the majority was still or right about half was organic and half was the acquisition.
Noelle Dilts : Okay, great. And then just looking at this 82.7% growth at Verizon, I mean, for me that was ahead of my expectations. How does that compared to what you guys were expecting internally?
Steven Nielsen : I mean, we're not going comment specifically other than to say that we've had big ramp, there has been some permitting issues and I think we all be happy to say we were going faster for every customer including that one.
Noelle Dilts : Okay perfect. And then in terms of -- sorry if I missed this number, but did you give CapEx expectations for the year?
Andrew DeFerrari: Yes, Noelle, this is Drew. So if you recall on the last call we talked about $190 million to $200 million net for the year. And we still anticipate it to be there. The number for the current quarter was a little bit lower than where we had expected. So it's really a timing issue on that.
Noelle Dilts : Okay, great. Thanks
Operator: And next move to Jennifer Fritzsche with Wells Fargo. Please go ahead.
Jennifer Fritzsche: Great, thanks. Two if I may, I believe you said this, Steve, but I do want to just press on pricing a little bit. You mentioned a customer having an Analyst Day yesterday that customer also has a large cost cutting initiative. And I'm just wondering the concerns for some of these customers is they're really pressuring the vendors to cut pricing. And can you comment a little bit on pricing and maybe just in general not a specific customer basis. And then secondly, if I could just ask a bigger picture question of your capacity as it stands right now. I know you certainly might be full today, but open tomorrow. But however you said it, but how do you deem your capacity to service more work given the employee base you have now? Thanks.
Steven Nielsen : So, Jennifer. I think we're not going to comment on pricing for individual customers or programs in our comments we talked about pricing being attractive. The way we think about attractive is a comment is that we see pricing that's sufficient for us to invest and grow the business. And if we find that there is opportunity where the pricing is not attractive then we concentrate on where it is and make sure that we grow the business for customers where we're going to get a fair return not any more than we should, but a fair return. So I don't -- we are in the business right now of investing and we've got to make sure that we have adequate resources financially that make those investments. In terms of capacity, clearly we've added headcount over the last year. We're going to have to continue to have headcount as these programs grow. I think from a management perspective, we continue to add to that infrastructure and right now I think we can get some leverage. I think we're not as fully utilized from a management perspective in terms of the scale of the enterprise as it could be. So I think we've got the management capacity here we've got to get permitted work in front of us and we've got to get the resources in place to get it done.
Jennifer Fritzsche: Thank you. And if I just add one more follow-up, you touched on cap, so CenturyLink did mention cap the opportunity there, which is really hadn't been talked about for them in a while. Are you seeing -- at onetime we thought cap dollars would be across I think 10 customers. Are you seeing more pick up in that silo?
Steven Nielsen : Yes, I think we're seeing more as they discussed last week at an investor conference. They have a new management. They want to walk through the program and make sure that the money that they've received is spent wisely. And we've seen them work through that and we see more opportunity picking up there. There is an addition cap auction that's going to occur over the summer for another couple of hundred million dollars of support for the next 10 years. And we're seeing lots of real activity, we've spoken about this before even with the electric co-ops, we've seen that grow to be as a pretty meaningful piece of business across a whole bunch of small customers. So we see some opportunities in rural also.
Jennifer Fritzsche: Alright, thank you.
Operator: And next we'll go to Alan Mitrani with Sylvan Lake Asset Management. Please go ahead.
Alan Mitrani : Hi, thank you. Steve, can you talk a bit about cable and the urgency of their spend. Do you think in general that urgency is modulated a little bit or in general over the next couple of years, you think they will be just as active as maybe the telco participants?
Steven Nielsen : So Alan, I think we have -- we're very optimistic about opportunities in the cable industry. There are some new technology coming into the industry over the next six to nine months, it's going to make deployments more efficient in terms of -- on the equipment side of the business for them, so predominantly around head ends, and we think that will be good for the business because that will just make what we do at higher returns for our customers. So we are optimistic about cable.
Alan Mitrani : Okay. And then I know you don't like to speak about specific customers, but there seems to be a lot of acquisition or potential very, very large acquisitions in that industry going on. Given your customer concentration, how do you deal with a customer, I'll give you the example this quarter like CenturyLink who seemingly spends a lot less of their CapEx than you thought they might have if that focuses on one of your bigger customers. I mean, how do deal with that from a modulation perspective when you don’t want to drop any management or field expertise given it could come back?
Steven Nielsen: We redeploy those assets in other parts of the business that are going to continue to grow pretty substantially, if it occurs, I am not sure in the instance that you mentioned, you have an integration of two businesses and that's not unheard of to have some reassessment. If you have a horizontal or a different geographic merger, I'm not sure that impacts the customer behavior in the same way.
Alan Mitrani : Okay. And also can you remind us what’s left on your share buyback?
Steven Nielsen : $95 million.
Alan Mitrani : Is there a timetable on that?
Steven Nielsen : It's through August, but I mean it was an 18-month approval and we’ve had one open now for probably more than a decade. So, I don’t think there is anything magic about August.
Alan Mitrani : Thank you.
Operator: And our next question from Bobby Burleson with Canaccord. Please go ahead.
John DeCoursey: Hey, guys this is John DeCoursey, on for Bobby. With most of my questions having been answered, just want to touch upon one more thing with the large customer program. Can you touch on from experience on kind of similar huge ramps in investment from the past whether permitting hurdle can kind of provide a continued headwind beyond what they have done already? I guess said in another way, what's the risk that push outs go on further beyond even the foreseeable future?
Steven Nielsen: Well, I mean, the uncertainty Bobby is always around starting the process once there is a cadence to the process, once more municipalities are involved, so the builds get broader. It becomes less uncertain. We had similar experiences with large programs 15 years ago and we're still at them. And today permitting or even after for the initial kind of 12-month period it just become something you manage, it's the initiation of the programs that is where the most uncertainty is.
John DeCoursey: Okay, thank you.
Operator: And we now have a follow-up from Alan Mitrani. Please go ahead.
Alan Mitrani: Hey, sorry, I forget one. Inflationary pressures, are you seeing any -- I see that gas has moved up, I know gas isn’t a big piece of your fuel -- excuse me is a big piece of your COGS, but can you just talk about other businesses talking about inflation. Just tell us where you think and you see that and whether you feel that your current -- the current bidding in the industry is reflecting some of those increased costs?
Steven Nielsen: Well, I think Alan on fuel, it was basis point it's not a major COGS factor at this point, at this price level. It has been higher in the past, but that was long time ago. And then, look I think to attract resources, you are going to make sure that the product is priced appropriately to attract those resources. And so we don't say anything different about this ramp up than anything else. Our core business that's not involved with those ramps, we're not seeing significant price escalation.
Alan Mitrani: Okay. And then Steve, just a bigger picture, you're clearly staffed up for a much bigger revenue base, it hasn't come to the timeframe you expected or we've expected or others, but do you feel you said you need to add a little headcount and you are still going to spend the CapEx and keep the same budget even though revenues may not be as robust as you thought this year. Once that comes, so many other businesses are being priced in the stock market as if it’s peak earnings or the fear of peak earnings. No one wants you to get to mid-teens EBITDA and then have a drop off, we're just thinking, how many years do you -- like you feel it sounds like once you hit that ramp, this is a ramp that could be sustained for a number of years given the spending implications from your customers. Is that correct?
Steven Nielsen: I think we're at the begging of a number of large programs. We’re also seeing opportunities to grow market share, which is not unusual that follows large programs and right now we're focused on growing the business.
Alan Mitrani: Okay, thank you.
Operator: And Mr. Nielsen no further questions in queue.
Steven Nielsen: Alright, we thank everybody for your time and attention and we’ll talk to you again at the end of August. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference. Thank you for your participation. You may now disconnect.